Operator: Good afternoon, and welcome to the Ross Stores Third Quarter 2022 Earnings Release Conference Call. [Operator Instructions]
 Before we get started, on behalf of Ross Stores, I would like to note that the comments made on this call will contain forward-looking statements regarding expectations about future growth and financial results, including sales and earnings forecasts, new store openings and other matters that are based on the company's current forecast of aspects of its future business.
 These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from historical performance or current expectations. Risk factors are included in today's press release and the company's fiscal 2021 Form 10-K and fiscal 2022 Form 10-Qs and 8-Ks on file with the SEC.
 And now I'd like to turn the call over to Barbara Rentler, Chief Executive Officer. Thank you, ma'am. Please go ahead. 
Barbara Rentler: Good afternoon. Joining me on our call today are Michael Hartshorn, Group President, Chief Operating Officer; Adam Orvos, Executive Vice President and Chief Financial Officer; and Connie Kao, Group Vice President, Investor Relations. We'll begin our call today with a review of our third quarter performance, followed by an update on our outlook for the fourth quarter and fiscal year. Afterwards, we'll be happy to respond to any questions you may have.
 As noted in today's press release, third quarter results were above our expectations as we delivered stronger values throughout our stores. Operating margin for the period was 9.8% versus 11.4% last year, reflecting the deleveraging effect from the comparable sales decline as well as pressure from higher markdowns and unfavorable timing of packaway-related costs.
 Earnings per share for the 13 weeks ended October 29, 2022, were $1 on net income of $342 million. This compares to $1.09 per share or net earnings of $385 million for the 13 weeks ended October 30, 2021. Total sales for the quarter were $4.6 billion, in line with the prior year, with comparable sales down 3% on top of a robust 14% gain in the third quarter of 2021.
 For the first 9 months, earnings per share were $3.08 on net earnings of $1.1 billion compared to $3.82 per share on net income of $1.4 billion for the same period in 2021. Sales for the year-to-date period totaled $13.5 billion with comparable store sales down 5% versus a strong 14% increase last year.
 For the third quarter at Ross, shoes was the best-performing business, while Florida and Texas were the top-performing regions as they were bolstered by the outperformance of border and tourist locations.
 At dd's DISCOUNTS, sales trends improved versus the first half, but continued to trail Ross' results due to ongoing inflationary pressures that are having a larger impact on dd's lower-income customers. Inventory levels moderated significantly from the first half of the year, with total consolidated inventories at the end of the quarter up 12% compared to last year.
 Average store inventories during the quarter were up 4% versus 2021 and down compared to pre-pandemic levels. Packaway merchandise represented 41% of the total compared to 31% last year when we used packaway merchandise to fuel robust sales gains.
 Turning to store growth. We completed our expansion program for 2022 with the addition of 28 new Ross and 12 dd's DISCOUNTS in the third quarter. For the year, we added a total of 99 locations comprised of 71 Ross and 28 dd's DISCOUNTS. We now expect to end the year with 1,693 Ross stores and 322 dd's DISCOUNTS locations for a net increase of 92 stores.
 Now Adam will provide further details on our third quarter results and fourth quarter guidance. 
Adam Orvos: Thank you, Barbara. As previously stated, comparable store sales were down 3% in the quarter. Although traffic improved from the second quarter, it still declined versus the prior year. Partially offsetting these declines was a higher average basket size.
 Operating margin of 9.8% for the third quarter was down 160 basis points from last year. Cost of goods sold grew by 230 basis points in the quarter. Merchandise margin declined 165 basis points, primarily due to higher markdowns.
 Distribution costs were up 140 basis points, mainly due to unfavorable timing of packaway-related costs and deleverage from our new distribution center, while occupancy delevered by 20 basis points. These higher expenses were partially offset by a 75 basis point decrease in buying costs, mainly from lower incentives.
 Lastly, pressure from domestic freight expenses eased in the third quarter and improved 20 basis points as we anniversaried the freight headwinds that began in the second half of last year.
 SG&A for the period improved by 70 basis points as deleverage from the negative comparable sales was more than offset by lower incentives. During the third quarter, we repurchased 2.8 million shares of common stock for an aggregate cost of $244 million. We remain on track to buy back a total of $950 million in stock for the year.
 Now let's discuss our fourth quarter guidance. We continue to expect a very promotional holiday selling season and ongoing inflationary headwinds to pressure our low- to moderate-income customers. That said, we face our easiest sales and earnings comparisons in the fourth quarter and are raising our guidance, given our third quarter sales momentum and improved holiday assortments.
 For the 13 weeks ending January 28, 2023, we now expect comparable store sales to be flat to down 2% on top of a 9% gain in the prior year. As a result, earnings per share are forecasted to be in the range of $1.13 to $1.26. The operating statement assumptions that support our fourth quarter guidance include the following. Total sales are projected to be flat to up 3%. We expect operating margin to be in the range of 9.7% to 10.5% versus 9.8% last year.
 This mainly reflects the anniversarying of significant cost pressures from ocean freight and lower incentives, partially offset by the deleveraging effect from lower same-store sales, unfavorable timing of packaway-related costs and higher markdowns.
 Net interest income is estimated to be about $14 million. Our tax rate is expected to be approximately 23%. And weighted average diluted shares outstanding are projected to be about 342 million. Based on our year-to-date results and fourth quarter guidance, earnings per share for fiscal 2022 are now projected to be in the range of $4.21 to $4.34 compared to $4.87 last year.
 Now I'll turn the call back to Barbara for closing comments. 
Barbara Rentler: Thank you, Adam. Despite the many challenges over the last few years, coupled with today's uncertain macroeconomic and geopolitical environment, we remain optimistic about our future growth prospects. Our top priority is and always will be delivering fresh and exciting named brand merchandise at compelling discounts every day in our growing store base of over 2,000 locations.
 With consumers' heightened focus on value and convenience, this bodes well for our ability to expand our market share and profitability in the future. At this point, we'd like to open up the call and respond to any questions you may have. 
Operator: [Operator Instructions] And our first question comes from the line of Matthew Boss with JPMorgan. 
Matthew Boss: Congrats on a nice quarter. It's great to see the return to beat and raise. So Barbara, maybe relative to your internal expectations, what did you see from traffic? Or maybe could you speak to the cadence of comp trends as the third quarter progressed? And then could you just elaborate on the improved holiday assortments that you cited in the release? 
Michael Hartshorn: On the traffic trends, as we mentioned -- this is Michael Hartshorn, Matt. As we mentioned in the prepared comments, with the comp down 3%, as we mentioned, traffic did improve for the quarter, but it still declined versus the prior year. So offsetting the traffic decline was a higher average basket.
 The basket was driven by higher AURs, while UPTs were flattish. The increase in the average basket was more than offset by the decline in the number of transactions. As we move through the quarter, what we saw on a stacked basis, so compared to 2019, our trends improved as we progressed through the quarter. 
Matthew Boss: Great. And then just a follow-up. Maybe relative to the third quarter, could you just elaborate on maybe the macro or the competitive landscape assumptions that you embedded in your fourth quarter comp guide? It does embed a moderation? Is that prudence? Is it something that you've seen? Or are you embedding more competitive backdrop and maybe a deterioration in the macro in the fourth quarter? 
Michael Hartshorn: I would say the -- from our point of view, the macroeconomic environment obviously remains uncertain, but we do think that the holiday period is going to be very promotional. So that's what we've embedded into the guidance. And then just as a reminder, last year, sales at the end of the quarter did trail off. It's our easiest quarterly compare. Trailed off for 2 main reasons. One was the spike in Omicron cases. And then at this point last year, the supply chain continued to be a real challenge for us and other retailers. 
Matthew Boss: Great color. Congrats again. Sorry. Go ahead, Barbara. 
Barbara Rentler: Okay. The holiday assortment, so look, we believe our holiday assortment this year, we really have an improved offering of both branded bargains based off of availability in the marketplace and also particularly our gift giving, because of the imbalances we had from the supply chain congestion, as Michael just alluded to. So we feel between the 2 of those, we'd be able to offer great brands, strong values and a broader assortment. 
Operator: And our next question comes from the line of Alex Straton with Morgan Stanley. 
Alexandra Straton: Great. Just as it relates to the updated guidance, perhaps could you kind of talk about what the key swing factors are there that could drive you either to the higher or the lower end of that new range? 
Adam Orvos: Yes, sure. Alex, this is Adam. So given our guidance of flat to minus 2% comps, we'll have some deleverage impact from sales. Markdowns will be higher than last year in fourth quarter, but not as impactful as in third quarter. Domestic freight, we see as slightly neutral, seeing some benefit in rate, but offset by still elevated fuel prices. Ocean freight will probably be the most tangible tailwind for us.
 As you remember, last year, we were getting into the period where rates were escalating significantly, demand was high. So that will be a tailwind for us. And then given our outperformance last year and our underperformance this year, incentive costs will be lower in Q4 versus last year. And then finally, depending how the end of the year plays out, we'll likely see some pressure from packaway timing in fourth quarter also. 
Alexandra Straton: Great. That's super helpful. Maybe could I just follow up on your inventory levels? I think you said they were up low double digits year-over-year exiting the quarter, which seems like a pretty lean level. So maybe could you tell us, do you feel like you have enough heading into the fourth quarter? Or how are you feeling about the levels and then just the broader assortment? 
Michael Hartshorn: Overall, we feel really good about where we are at the end of the third quarter. As we said in the prepared remarks, we ended up about 12%, which was a big improvement when we -- from the second quarter when we were up 55%. And the increase over the last year is really packaway inventory. So we were at 41% versus 31% last year. And last year was relatively low versus our historical levels because we used a substantial amount of our packaway to chase sales that were well above our plan. 
Operator: And our next question comes from the line of Mark Altschwager with Robert W. Baird. 
Mark Altschwager: What do you view as the key drivers to the improving comp trends you saw this quarter? Are you seeing evidence that the trade-down is now occurring? Do you think this is a reflection of the AUR strategy you outlined last quarter? Just if you could expand on your overall assessments there, that would be great. 
Barbara Rentler: Sure. From the second quarter to the third quarter, from an assortment perspective, we went in and reset our values and got them to where we believe they need to be in this very promotional environment. So we rightsized our values through some markdowns in some places. And in some places, we rightsized some of our inventory as we were watching shifts go on in the business.
 And the other big shift is apparel and home for us in the quarter performed relatively the same, but our shoe business, which was our best performing business, was really, really fueled by strong values on branded products and availability in the market. 
Michael Hartshorn: And in terms of the trade-down customer, with so many moving parts in the economy, it's difficult to parse out the individual drivers of the improvement. We have not seen a material shift with spending trends across different income demographics, but delivering better bargains to our consumer likely played the most significant role as it typically does. 
Operator: And our next question comes from the line of Lorraine Hutchinson with Bank of America. 
Lorraine Maikis: I was just hoping you could square a couple of comments for us. You talked about resetting values and really focusing on the sharp price points, and your AUR was up. So can you talk about the drivers of AUR in the quarter and then your views on the pricing strategy on a go-forward basis? 
Barbara Rentler: Sure. So Lorraine, value and price are 2 different things. So the merchants are out constantly assessing what's going on from pricing and competitive shopping and seeing what that is. So in some places, where we felt that our AUR was just too high, we went in and took markdowns. But in other places, based off of assortments and opportunities that we've gotten in the marketplace, the AUR might be higher, but the value is different.
 And then the last component would be some of the shift in the mix of some of the businesses themselves. So for example, our shoe business has been strong. And shoes, obviously, runs a much higher AUR. So there's a variety of things.
 But what I would say in total is that, with back to being such a highly promotional environment that we're in, the merchants will be in the market, really assessing where the values are moving and what that looks like and trying to stay ahead of that. So with -- again, back to the AUR question, that could depend on mix, and that can depend on brand. So there's a variety of issues involved there. 
Operator: Our next question comes from the line of Chuck Grom with Gordon Haskett. 
Charles Grom: You called out Florida and Texas as being strong regions, but you didn't call out California, which is a little bit surprising, given the checks that were sent out in the month of October. So I just wonder if you could just give us a little bit more color on geographic performance in the quarter. 
Adam Orvos: Yes. This is Adam, Chuck. Yes, Florida and Texas clearly outperformed for us. We're seeing the benefit in border locations. We're seeing the benefit in tourism locations. And those were clearly the outperformers. On the flip side, California underperformed in the quarter. 
Michael Hartshorn: And on California, the checks didn't come out till the end of the quarter, so it didn't have a material impact on Q3. In California, fuel prices have remained significantly more elevated than the rest of the country. That is, we believe, squeezing the lower- to moderate-income customer. 
Operator: And our next question comes from the line of Paul Lejuez with Citigroup. 
Paul Lejuez: Curious on what's going on from a shrink perspective. We've had a couple of companies call out, I think, a drag from shrink. I think you guys usually do a physical count in 3Q. So curious what you're seeing on that front.
 And then also just on inventory. Typically, third quarter inventory is a few hundred million bucks above 2Q. Now that's a few hundred million below. So I'm just kind of curious about what your thinking is in terms of quantity and quality and how you're thinking about inventory levels relative to sales going forward. 
Michael Hartshorn: Well, on physical inventory, we did take a physical inventory during the third quarter, and it was slightly higher than last year. And then on inventory levels in Q2, we were -- we believe we had too much inventory, which is why it's down versus the second quarter. 
Paul Lejuez: And then go forward, Michael? 
Michael Hartshorn: I wouldn't comment on the -- on year-end, but it's going to be dependent on packaway opportunities in the marketplace. 
Operator: And our next question comes from the line of Brooke Roach with Goldman Sachs. 
Brooke Roach: Barbara, I was wondering if you could contemplate and reflect on -- based on the availability of branded goods in the market today, can you talk to the outlook that you see for merch margins for the next few quarters? How are you thinking about taking that mark on and passing that along through the P&L versus passing that value on to the consumer and competing for additional comp opportunity over the next few quarters? 
Barbara Rentler: Sure. As you know, there's a lot of availability in the market, and it's really broad-based. And all categories, all brands, it's really broad. In terms of margin, I think the way we think about it now is the customer, our customer, especially the moderate- to low-income customer, is really focused on value. So we'll look at every brand based off of how that brand sits in the world and the competitive nature of the pricing of that brand, and then we'll value it appropriately.
 Because that's really what the customer told us when we went in and we rightsized some of our values that we weren't as competitive as we would have been historically. So I would look at it more from the opportunity of getting great brands on the floor, putting better values out there to make -- to please the customer and then, ultimately, to drive sales. 
Brooke Roach: Great. And then just one quick follow-up. I think in the prepared remarks, you mentioned a sequential improvement at dd's. Can you talk to the drivers of that and any change that you're seeing in the behavior of your low-income customer versus maybe more of a middle- to high-income customer within your portfolio? 
Michael Hartshorn: Sure. On dd's, the improvement from Q2 to Q3 was similar than Ross, although it continued to trail. As a reminder, the dd's customers' average household income is $40,000 to $45,000 versus $60,000 to $65,000 for Ross. So very similar improvement between Q2 and Q3. 
Operator: [Operator Instructions] Our next question comes from the line of Michael Binetti with Credit Suisse. 
Michael Binetti: Congrats on a great quarter. You guys are typically really conservative when it comes to the forward guidance. And others today and yesterday have spoken to a softer start to fourth quarter. Michael, I know you won't speak specifically about intra-quarter, but you mentioned maybe that fuel is going to neutralize some of the stimulus benefit in your biggest market, [ a few of your ] macro thoughts there. But what gives you the confidence to raise in the fourth quarter, knowing what we know about the industry here, a little different than how you approached a couple of the most recent quarters?
 And then, I guess, Michael, you've also saw spoken to us in the past about what your view is of a normal algorithm for this business, what flow-through looks like on your normal sales target. Any initial thoughts on how flow-through could look next year, if we're lucky enough to be back to a conducive market for a normal comp? 
Michael Hartshorn: Sure. On what gives us confidence on the guidance, so the multiyear stack in the Q4 is lower than what we actually achieved in the third quarter. We're confident about the assortment that we have for the holidays. And any conservatism would be based on the macroeconomic environment and what we think is going to be a very, very promotional holiday.
 In terms of the flow-through for next year, as you would expect, operating margin improvements will be highly dependent on sustained strong sales growth over time and then how quickly some of the inflationary cost pressures subside. But I'd say, over the longer term, we think we can achieve gradual improvement in profitability.
 As for 2023 specifically, we're in the midst of our budgeting process for next year currently. And we'll be able to provide an update on our year-end call when we'll have a better sense of the macro economy entering the year and to the opportunities we have in places like ocean and domestic freight.
 I would say also, keep in mind, with lower incentive costs that had benefited our profitability this year, will reset the baseline next year. And thus, incentives will be a headwind in SG&A. 
Operator: And our next question comes from the line Adrienne Yih with Barclays. 
Adrienne Yih-Tennant: Barbara, can you talk about the buying environment and how much better it has gotten perhaps in the past 60 to 90 days since last quarter? And then how long does it take from, say, a contract negotiation to being able to get that product ready and available for sale in your stores? 
Barbara Rentler: Sure. Yes, the buying environment has gotten even better, broader, more brands, [ more ] classification. So it has -- absolutely, in the last 60 to 90 days, more vendors want to move more merchandise and also some new resources that perhaps we weren't doing business with before also want us to purchase the merchandise. So yes, there's a lot of supply out there. Adrienne, just say the second part of your question again. 
Adrienne Yih-Tennant: Yes. I was wondering from the time that you actually negotiated... 
Barbara Rentler: Well, it depends how quickly a vendor can ship, right? So assuming I buy the goods on Monday and the vendor could ship in a week, probably takes about 3 to 4 weeks, depending upon what -- there's a lot of variables here, Adrienne, where they're shipping from, what DC, but basically as a general rule, I would say, somewhere between 3 to 4 weeks. 
Adrienne Yih-Tennant: Okay. Fantastic. Best of luck for holiday. Congrats. 
Operator: And Our next question comes from the line of Laura Champine with Loop Capital. 
Laura Champine: I'm interested in the contrast between what looks like more promotional department stores this year versus last and the off-price kind of effort to raise the ring a bit. How is your pricing umbrella holding up versus those mall-based stores this year? 
Barbara Rentler: Well, Laura, we went in and actually went in and rightsized some of our values, and we'll continue to do that in the fourth quarter, which is why we're saying, built into our guidance, we have some additional markdowns in there. The promotional calendar, I mean, you know what's going on out there, you can see it as everyone is trying to move through inventory.
 And some places, that -- the promotional calendar looks as sharp as '19, as deep as '19. A couple of businesses, you say to yourself, it's a little deeper than '19. But -- so the merchants are out there assessing that. And then we're either buying to the values that we think we need to be based off of all the supply that's out there, or we are going in and revaluing some of the things that we have that we think we need to get to the right price value.
 But it is just as promotional as it's been historically. And so that's kind of the heads-up the merchants have as they're out there now making purchases in the outside world. And then, of course, the logic of every value is dependent upon the brand and how that fits in the outside world. 
Operator: And the next question comes from the line of Marni Shapiro with Retail Tracker. 
Marni Shapiro: Congratulations on a great quarter, and best of luck for holiday. If you could just -- I know you're not giving guidance yet for '23, but is it fair to assume that store openings will be about the same for next year? Or is there any change to your thinking on dd's, given the environment?
 And then I think, Barbara, just wanted to chase a little bit more into the improved mix you said for the holiday season. Clearly, there's a lot of product out there. But were you referring to improved mix versus '21, versus the first half, versus the third quarter or just in general, there's so much inventory and we're having a good time? 
Michael Hartshorn: Marni, on the real estate front, we remain very confident in both chains and currently have no changes to our expansion plans. Certainly, we'll provide more details for '23 when we report year-end earnings. 
Barbara Rentler: Okay. And in terms of the mix, Marni, I would say, going back to Q4, we missed a lot of gifting opportunity last year because of the whole supply chain carrier issues. So specifically to Q4, that's one piece of it. In terms of versus the entire year, there's just a lot more brands out there. So I think it's a combination of both, being able to get really great closeouts and better pricing and better brands and the other piece of where there are just holes -- literally holes in our assortment. So it's both. 
Operator: And our next question comes from the line of John Kernan with Cowen. 
John Kernan: Congrats on the momentum into holiday. So Michael, if we look at your sales productivity just simply through sales per square foot, sales per store, it's above pre-COVID levels. The operating margin obviously is below, but it seems like there's momentum into the fourth quarter and next year, and you might have line of sight in terms of how to get back to pre-COVID levels of operating margin.
 What do you think is -- where do you have the clearest line of sight in terms of -- is it freight? Is it merchandise margin? Is it SG&A leverage? What do you think creates the clearest path back to pre-COVID levels of profitability? 
Michael Hartshorn: Well, sales, number one. There are structural changes in wages across the U.S., but I don't think you're going to get that back to the labor that you had pre-COVID. Certainly, ocean freight is going to be a tailwind for us going into 2023. I would say domestic freight should be a tailwind as well, but that will be partly dependent on diesel fuel prices that are above $5 now. And so it will be partly dependent on what happens with fuel. But most importantly, it will depend on top line sales. 
Operator: And our next question comes from the line of Jay Sole with UBS. 
Jay Sole: My question is just, with all the inventory out there, not just in terms of apparel and footwear, but many categories, are you seeing any opportunities to expand the business into some new areas and new categories that maybe you have it before just because the buys are so good? 
Barbara Rentler: Look, I would say, the merchants are out there looking for all kinds of buys. And yes, that does happen. Often you wind up opening up some new resources, which we have, as there's availability and the vendors are looking to partner with people. So it's both. I mean we're absolutely doing that, and that's a piece of it. 
Jay Sole: And Barbara, do you think that can continue? 
Barbara Rentler: Well, I think once you open up a resource or even start shopping a resource, even if the resource doesn't have merchandise that minute, usually, things over time, if you keep going back, you'll open the resource up. I think after this supply double really, really died down, and we do expect it to go into next year because there is so much merchandise, then I think there's a lot of -- we don't really have full line of sight to what will be full product set that's in front of us since this November.
 Yes. I just -- I think there's just -- yes, I don't know if -- I think there's opportunities and there are some businesses we could go into in some different categories, not whole businesses, but categories within businesses that we could expand upon. 
Operator: And our next question comes from the line of Ike Boruchow with Wells Fargo. 
Jesse Sobelson: This is Jesse Sobelson on for Ike. We were just wondering, as we look to pre-COVID margins, I think it was mentioned a little bit earlier in the Q&A, you're hovering around 13% pre-COVID. But you mentioned some higher structural costs such as wages. This pre-COVID margin is still attainable sometime over the next few years? Or should we be thinking about a recovery, but maybe landing somewhere below those pre-COVID levels? How are you guys thinking about it? 
Michael Hartshorn: Sure, Jesse. I wouldn't predict where it's going to land other than any return would happen over a number of years and wouldn't happen overnight. We would expect it to have improved profitability over time is the way I'd answer that question. 
Operator: And our next question comes from the line of Aneesha Sherman with Bernstein. 
Aneesha Sherman: Barbara, on your point about resetting the value proposition, have you seen turns pick up sequentially through the quarter? And is that what drove the in-store inventories to be so lean as you continued to lean in on markdowns?
 And then, Adam, you mentioned earlier on an expectation of an easing of markdowns in Q4. Should we interpret that you're now reaching the level of turns that continue to be strong through the quarter and now you're happy with where your value proposition is? Have you seen the turns stay strong kind of exiting the quarter and into Q4? 
Michael Hartshorn: Aneesha, on absolute inventory levels, these are the inventory levels we've been running throughout the year. We always prefer to be in the chase. And this is the way we'll -- we typically run the model and will continue to do so going forward. But the inventory levels, again, in-store, in front of the customer were up over last year, but down versus pre-pandemic level. 
Adam Orvos: Yes. And, Aneesha, building on that a little bit. Your question about the markdowns, we've layered some additional markdowns versus last year into our fourth quarter guidance. And that's really largely driven. We know this is going to be a highly promotional environment, and we'll see how highly promotional it is, but just want to be prepared for that. 
Aneesha Sherman: But can I clarify, Adam, so it's up versus last year, but is it right to say that it's easing sequentially versus where you were this quarter? 
Adam Orvos: Yes, absolutely. 
Operator: And our next question comes from the line of Corey Tarlowe with Jefferies. 
Corey Tarlowe: Congrats on the quarter. So on new stores, I was wondering if you -- I know you talked about completing your 2022 store growth plans. I was wondering if you could discuss a little bit about new store productivity, how that's looking versus what your benchmarks are and any additional color that you can add specifically on just the new store performance. 
Michael Hartshorn: Sure. So for us, a new store overall in the fleet of stores will typically come out of the box at 60% to 65% of the chain average. And that continues to be the case, even on the new store openings over the last couple of years. 
Operator: And our next question comes from the line of Bob Drbul with Guggenheim Securities. 
Robert Drbul: Just 2 quick questions. On, I guess, dd's versus Ross, are the state performances, Texas, Florida versus California, what you said, is that holding true for both formats in terms of the sales performance? And then just on the other side of it, in terms of your mix or your opportunity in categories, what do you think in terms of where you outperformed your expectation in the third quarter, like which categories surprised you the most, I would say? Could you share that with us? 
Michael Hartshorn: Sure. On the dd's question, we typically -- the state performance is really on a consolidated basis, which is what we discussed. We don't get into the dd's -- again, I would just reiterate that overall, dd's improvement, I would say, across the board was very similar to Ross, but continued to trail. 
Barbara Rentler: And in terms of merchandise mix of performance, it outperformed -- I mean shoes really outperformed. The other businesses that outperformed would be some of the standard core businesses. From a term perspective, [ that would be ] the plan. 
Operator: And our final question comes from the line of Simeon Siegel with BMO Capital Markets. 
Daniel Stroller: This is Dan Stroller on for Simeon. On the topic of margin recapture, I think in the past, you've talked about leveraging added technology in-store or at the DCs for efficiency and cost reductions. Just wondering where you stand in that regard, or if there's more to come, basically what inning you're in, in that chapter. 
Michael Hartshorn: I would answer that by saying we're constantly in the third or fourth inning. So we always have new investments we're making. Those include automation in the DCs, in stores. They're ranging from automated robotics in the DCs. We're piloting self-checkout in the stores, and also in the stores, more efficient ways to check inventory and take markdowns for our store associates. And we constantly have investments where we're trying to be more productive and efficient in the business. 
Operator: There are no further questions at this time. And now I would like to turn the floor back over to Barbara Rentler for any closing comments. 
Barbara Rentler: Thank you for joining us today and for your interest in Ross Stores. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.